Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Discovery Inc. Fourth Quarter and Full Year 2020 Earnings Conference Call. At this time, all participants’ lines are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session.  Please be advised that today's conference may be recorded. 
Andrew Slabin: Good morning, everyone. Thank you for joining us for Discovery's Q4 earnings call. Joining me today are David Zaslav, President and Chief Executive Officer; Gunnar Wiedenfels, Chief Financial Officer; and JB Perrette, President and CEO, Discovery Networks International. You should have received our earnings release. But if not, feel free to access it on our website at www.corporate.discovery.com. On today's call, we will begin with some opening comments from David and Gunnar, and then we will open the call to take questions. Before we start, I'd like to remind you that comments today regarding the company's future business plans, prospects and financial performance are forward-looking statements that we make pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are made based on management's current knowledge and assumptions about future events, and they involve risks and uncertainties that could cause actual results to differ materially from our expectations. In providing projections and other forward-looking statements, the company disclaims any intent or obligation to update them. For additional information on important factors that could affect these expectations, please see our Form 10-K and our subsequent filings made with the U.S. Securities and Exchange Commission. And with that, I'd like to turn the call over to David.
David Zaslav: Good morning. And I hope everyone is having a great start to 2021. And we thank you all for joining us here today. This is a dynamic time for Discovery. The past year has been one of change, challenge and opportunity, during which we've shown incredible resilience, creativity and focus as one global team. From navigating the pandemic to generating meaningful momentum towards our strategic pivot, Discovery has responded with drive and determination. This is also a unique time for us, because as we are working hard to solidify our core linear business, in which we continue to meaningfully outperform, we are repositioning the company against the massive new opportunity in streaming, where we already see very positive signals and signs that taken together with the durability of our core business, will nicely position the company for sustainable long-term growth, sustainable long-term growth. That is our mission, and we are laser-focused on delivery.
Gunnar Wiedenfels: Thank you, David. And good morning, everyone. Echoing David's comments, 2020 was indeed a year that presented its fair share of challenges. Likewise, it stress tested our company in unprecedented ways. Looking back, I'm extraordinarily proud of both how our team reacted to such disruption, as well as how we proactively lean forward into our strategic pivot. I do believe we accomplished a tremendous amount in 2020, operationally, financially, managerially and strategically, and it set us up for a great start to 2021 and beyond, which I will discuss in more detail shortly. But first, to briefly recap Q4, a very solid set of results across the board. Starting with US networks. Advertising revenues were consistent with the prior year, supported by an ad market that continued to show signs of recovery, as well as the general tightening of the marketplace due to political spend.
Operator: Thank you.  And our first question comes from Robert Fishman from MoffettNathanson. Your line is open.
Robert Fishman: Hi. Good morning. Can you be a little bit more specific about the cadence of the international rollout for Discovery+ in the next few months? And have your partners like, Vodafone really start to ramp up on the marketing to their sub-base yet? And then, while clearly still early, anything you can help share on the international monetization of the subscriber base and if you're seeing higher ARPU levels there relative to your linear subscriber base? Thank you very much.
David Zaslav: Thanks, Robert. As I mentioned, we're really just getting started. We've built a robust platform, but in order to roll it out globally, it needs to be modified, needs to be modified to be embedded with Vodafone, to be embedded with Telecom Italia, each of the different distributors. We're working on getting it embedded with a number of the cable players domestically and around the world. We have re-branded Dplay, Discovery+. As you know, our strategy outside the US, which we think is really unique, is local entertainment, local non-fiction, local sport in Europe and local entertainment, local non-fiction around the world. And that library from the last 25 to 30 years of local content really differentiates us from Netflix and Disney. It makes us a great companion if you're putting together a bundle. So we are seeing some real growth in the few markets that we've launched in. We're using the Olympics as a forcing mechanism, where we're looking to rebuild the platform. So that coming out of the - we're ready with the Olympics all across Europe. And then coming out of that, we'll be able to roll out. But for instance, Vodafone will not be for a little while. But JB, why don't you give some more specifics?
JB Perrette: Yeah. So Robert, as David mentioned, we are obviously undergoing a significant amount of work to re-platform. Basically, what that means is our front-end product that was the former Dplay product in Europe was built on a different front-end platform than our US product. And so, as we do two things, one is migrate the US product to be our global product, we have some important kind of infrastructure work to get done here in advance of the Olympics. And number two, as we talked about in back in December, we will be collapsing our Eurosport player product into Discovery+. And so we need to also do some work to incorporate that product into Discovery+. Both of those things are our primary focus and taking up a fair amount of our engineering and product bandwidth over the course of the next four, five months pre Olympics. So that's going to be the primary focus in getting that right in the first half of this year. As we come out of the Olympics and go into the second half of the year, that's when you're going to see the acceleration of the international rollouts. And so that's the time frame I think about. The – and using Vodafone specifically, since you mentioned it, really, that will be a back half of ‘21 and even bleeding several markets into ‘22 as well as we launch with them. And then the third thing in terms of ARPU, the only thing I'd say there is what we do know and what we've seen so far is these retail partnerships with the Vodafone and others, as well as our direct-to-consumer, the premium and the multiples over our wholesale model internationally are still easily 3x to 4x the pricing that we see in our existing wholesale model. So we see a lot of pricing advantage in the Discovery+ model and the partnerships we have versus our existing business.
Robert Fishman: Great. Thank you both.
Operator: Thank you. Our next question comes from Steven Cahall from Wells Fargo. Your line is open.
Steven Cahall: Yeah, thanks. Maybe first, just wondering if you could update us on what sort of ARPU trends you're seeing on Discovery+, how those are performing versus your expectation and maybe how those split between US and international and subscription versus advertising. And then, David, I was wondering if you could give us an update on Magnolia in terms of timing. And you mentioned the Olympics and the golf season, but are there any other big content events that we should be mindful of during the year that might drive subscriber acquisition on Discovery+? Thanks.
David Zaslav: Sure. Why don't I start – I'll start with Magnolia. Chip and Joe have been huge supporters of Discovery+. And for the audience around the world and particularly here in the US, the delight with the fact that Fixer Upper is back, Magnolia Table with Joe, really strong, all exclusive to Discovery+, as well as the slate that we've been developing and they, as Chief Creative Officers, have been creating is on Discovery+. The good news is there's a huge amount of incremental content coming from them, as well as all the content that we were putting on Magnolia. All of that will continue to be on Discovery+. We've come up with a really creative partnership because Magnolia itself is a huge business for them and a transactional business. And so we will be launching an app together where people can go and take all kinds of classes, they can do workshops, they can transact business with the Magnolia product, they can transact business with Chip – with a number of things that Chip and Joe will be curating. But all the content that's developed will be on Discovery+. So effectively, when it launches, whatever number of subs that we have will be subs that will have the Magnolia app available to it. So it's really a win-win. It becomes effectively part of us, and we become part of them, they become part of us. And it's one and one equals two.
Gunnar Wiedenfels: Okay. Steven, let me take the question on ARPU. So a couple of points of what we're seeing so far. And remember, it's early days. But starting with the US, I think the most important point that I've looked at is our ability to monetize the advertising side for the Ad Lite subscribers. And I'm super pleased with what we're seeing there. We had this bogey of getting three times the CPM compared to linear, and we're on a very good track here. We're already making more on a per-sub basis altogether with these Ad Lite subscribers compared to the linear ecosystem. So that's great. Obviously, the price points for the ad-free product, and I should say that the subscriber base is skewing a little more towards ad-free given the relative attractiveness of the price point here, I think. But -- so for the US side, so far, ahead of expectations. Internationally, as JB said, the most important point is we're expecting a multiple delta between what we're achieving here on the direct-to-consumer side compared with linear. But I also want to say, it's early days, and especially on the international side, driven by the deal cadence, et cetera, that number could move around a little. That's why you're not going to hear us talk a lot about ARPU specifically. I would like you guys to focus on the next-generation revenue. That's why we gave the growth guidance there. And it's a very compelling story. I think we grew 18% in 2020. Fourth quarter was up 26% for next-generation revenue. We're now looking at roughly 50% for the first quarter, and I expect that number, that growth to further accelerate as we go through the year. So top to bottom, I think, very, very encouraging first results here.
JB Perrette: The one other thing, Gunnar, for that I might add just on for the international, is that based on the success we've seen in the last 45 days on the US Ad Lite product, that's really not a product that we've rolled out anywhere internationally. And we see an opportunity there to take that same model with the same higher ARPU and take it around the world. And so, as we - part of the replatforming we talked about just a minute ago, it is going to enable us to offer an Ad Lite and an ad-free product as we take Discovery+ around the world. And I think in a number of markets, particularly in Europe with our big advertising footprint there, that we think there's going to be additional opportunity for higher ARPU growth with both products and both tiers and market at the same time.
Steven Cahall: Great. Thank you.
Operator: Thank you. Our next question comes from Doug Mitchelson from Credit Suisse. Your line is open.
Doug Mitchelson: Thanks so much. And congratulations to David and the team on the successful launch. Couple of questions for Gunnar and a couple for David. Gunnar, one of the things that seemed pretty conservative at the Analyst Day was your target margin of 20% for streaming. Is it fair to say, you're basing well beyond that, given some of the metrics you laid out? And if you threw all this into a blender, what kind of margins would you get on sort of a terminal basis for streaming? And a clarification, Gunnar, you said CPMs were up 40% over the upfront 1Q. You said up mid teens year-over-year. Not to be sort of too in the weeds, but is that sort of booked to date? Or is that your anticipation of how the quarter is tracking, including the March period last year where it fell off? And for David, when you think about the usage of the research you've done so far, I know, it's early days, how do you feel about the idea? Is this super fans coming in and racing to try your streaming service? Is this just a mix of subscribers that you think is sustainable and normal and not overly driven by super fans? So what's your anticipation there? And then lastly, David, if you wouldn't mind, on content and investment, it seems like at least our track and you will tell me how far off we are, it seems like shows representing about 9% of your linear viewing has seen their originals debut on streaming. Is that sort of the right mix? Are you thinking of ramping that more aggressively? Or is the originals that you have coming means that the linear is going to sort of stay with the content level that it has right now? Anyways, thanks for all that.
David Zaslav: Sure. Thanks, Doug. Right now, it seems quite broad. We're getting subscribers from our broad marketing. We're seeing subscribers coming in from our own marketing on our own platforms. We're seeing a lot of digital. The age is really across the board. A lot of that has to do, I think, with the great work that Disney has done in acclimating people. The encouraging thing is that we see good numbers about people once they know about the product wanting to have the product. And we're – one of the reasons that we're marketing is we think we've got a great product, and we need more people to understand what it is. For 60 days in, with a product called Discovery+, we've had to do a lot of work. It's a great brand that people love, but we had to explain that it's home, food, Chip and Joanna  crime, Oprah Winfrey. And there's all of this – all the stuff that people like. So that was number one. The role to pay has been terrific. The amount of time people have been spending on is terrific. And so right now, it looks good. We can't tell you how big the market is. But right now, it feels like we're off and running. In terms of the content that we're moving around, we're really experimenting. And the interesting thing is, the way our product works so far is it's very different than Disney or Netflix. We have this massive library. And when we say what's trending, if you took all the top shows that are trending and put them all together, it represents less than 10% of what people are watching. And so it's – we have such a diversity of content. When you talk about scripted series and scripted movies, where you have eight people playing that game, they're going there for a scripted series, and they tend – or they're going there for a movie. For us, since we've pulled together that other 50%, they are watching Discovery stuff. They are going in and watching Prince William and an environmental documentary. And other people are going in there and watching the fact that we have the largest crime library or paranormal or food fans. So we're just experimenting. We're moving things around, but we still have a full commitment to the existing bundle. We are the bundle. I mean, it's basically news, sports and us. And a lot of the other players are now in – they are in repeat mode. And for us, we have a real equitable argument. I was talking with some of our operators over the weekend about the amount of original content that we're still doing and the amount of viewership that we're getting on the platform. And so we think we could do both, and we're experimenting moving things between the two.
Gunnar Wiedenfels: All right. Doug, and on your other two financial questions here, the margin, look, I mean, I gave that at least 20% number, because I was very, very confident that we'd be able to hit it. If you look at what we've learned since then, every metric has come in better. So I think it's safe to say that that's even more conservative from today's perspective. At the same time, there may be some sort of pulling impact forward, so I'm not in a position to give a new estimate. Now we're focused on building this product out and optimizing this now. But I feel very, very good about the margin potential in the long run. And then on the CPM side, just to clarify, the 40% are based on what we're seeing in our bookings. I think that was your other question, right?
Doug Mitchelson: Yeah. But also the mid teens year-over-year, is that like trace - pacing against the full 1Q of last year or just bookings to-date for the quarter?
Gunnar Wiedenfels: That's based on the - on what's on the books right now for the same period of last year. But as I said, I mean, we do - as I said a couple of minutes ago, we do expect a modest headwind because we're using some of our inventory for our own promotion. Still have somewhat limited visibility, et cetera. Keep that in mind as well, please.
Doug Mitchelson: Thank you, both.
Operator: Thank you. Our next question comes from Kutgun Maral from RBC Capital Markets. Your line is open.
Kutgun Maral: Great. Thank you for taking the questions. First, you're clearly more bullish on DTC today than you were maybe just a few months ago. You're ramping investments even more early subscriber KPIs, sound very attractive, whether it's CPMs or churn. I guess I'll give it another shot and ask you if you'd be willing to provide any thoughts on what DTC subscriber levels you expect to achieve, whether it's US or international or 2021 or even looking at further, just any framework would be helpful. And then secondly, how do we think about the GO apps and what that business looks like going forward, as you ramp and pivot even more into Discovery+? Thanks.
David Zaslav: Let me talk about GO, which is really our AVOD where we're getting terrific CPMs. It's been a great feeder, a really terrific, terrific feeder for us, which is really an efficient conversion. And it's really - we have a holistic view here. We have our traditional business with great margins where we continue to - which we think outside the US, it's declining, but at a much slower rate than in the US. But in the US, we're seeing some stability. We expect that it will decline, but we really like our position there. Then we have the GO AVOD, where we have a very young demo with very good economics, and people continue to go there. And the more people we can get to go there, the more people can come over that want to get our SVOD service, which has a lot more stuff. So, we think it's a really like a great one, two, three. And for advertisers, it's terrific. So, we're going to continue to look at the market. And as JB said, we're evolving. We have a very low priced product given the marketplace. It's an unbelievable value. If you look at the value of us at $4.99 and Ad-Lite versus everyone else, with the library we have and the originals, it's terrific. Outside the US, we can go a lot cheaper than that and still have a multiple of the ARPU that we get. But as JB said, we're learning. We've been at this for five years. That's how I think we took so much time to launch to figure out how do we get everything aligned. But the idea of AVOD, SVOD, Ad-Lite and some - now we're going to add SVOD with low commercials. But we'll also, in some markets, we might want to put in a big front porch of AVOD. And we've been doing that in a couple of markets already and finding that that's a real feeder. And the fact that we have advertisers in GO, that's one of the reasons we have 100 advertisers in Discovery+ right now. So, who knows where all this will be in five years. But right now, we have great ARPU on our existing business domestically and around the world. We're getting started. We're way ahead of where we were. And we like the metrics, and we're going to - we'll just follow the consumer need. I don't know, JB, just maybe a little on AVOD from your perspective?
JB Perrette: Yeah, I think the interesting thing, back to David's experimentation point is that, we have done some things even in the course of the last 60 days where we initially took down some content that was originally on GO and then put it back up. And I guess the point would be, generally to David's point of, these are just incredibly additive customer segments. I think we look at each of these as being very additive customer segments. And the GO performance so far, even in the course of Discovery+, has continued to see the same high level of engagement, as we had pre-Discovery+ launch, as we have post-Discovery+ launch. And so from an engagement perspective, all indications are, which was, again, a little bit of our thesis back in December, which we obviously didn't know 100%, but that this could be not an either or but an and. And that so far, it is looking a lot more like an and even that we might have expected back in December. And on GO, we're still very pleased with the engagement and the level of usage that, that platform is getting. And we have some new product innovations that we're going to be rolling out over the course of the next couple of months that we think we'll continue to make that product ever more compelling. And so we feel comfortable with that business continuing to be a good growth, a healthy growth driver for us going forward.
Gunnar Wiedenfels: And then maybe just to close out that last question, we're still not in a position to give a long term or short term subscriber guidance here. We're super happy with what we're seeing. Again top to bottom, ahead of expectations, we have a lot of distribution still coming down the pike. We're really just getting started internationally. So that's on the positive side. We'll see. I don't think there's a lot of value of us sort of discussing scenarios here.
Kutgun Maral: Understood, thank you all.
Operator: Thank you. Our next question comes from Ben Swinburne from Morgan Stanley. Your line is open. 
Ben Swinburne: Good morning. David, I wanted to ask you about your sort of content plans as you look at linear versus streaming in the US. I mean I think of Discovery, you've been probably the most deliberate, I think, in balancing what you deliver to your MVPD partners with what you're now building and streaming as you - as I'm sure you'd agree, others have gone much further sort of creating competitive products. Given the success so far in the US, I know it's early, but also you hinted out a cable partnership in your prepared remarks. Are you feeling more kind of optimistic or comfortable putting your best IP, on D2C versus linear in terms of exclusive or other things? Just give us a sense of your mindset sitting here today? And then Gunnar, you gave some advertising commentary for Q1. I'm just wondering if you could talk about the shape of the year. Obviously, the comps get pretty easy in Q2, Q3. And then would you be willing to give us what the next-gen revenues were in dollars last year? Thank you, everybody.
David Zaslav: Sure. Thanks, Ben. One of the great things is we get to see what people watch and how they watch it and what they like. And I would say - I wouldn't say best, I would say different. We're continuing to invest in our traditional channels around the world. And that's building our global IP library. And so we'll continue to do that. It's still a great model. And we think it's going to go on for quite some time. It's also a terrific feeder. So the people that are watching our cable channels are buying the product. People that are going to GO and seeing some of the product that they've downloaded and they like, they are buying the product. So we think it's really advantageous to us to keep that nourished. And it's good for us with our existing distributors because they appreciate that and that we're key to the bundle and we're supporting it. Having said that, there are a number of things that we're learning. Like if we do a big crime documentary, a big crime documented, we could put it on ID, and we have put it on ID. But the - some of those things are - they want to watch it when they want to watch it. When we did the Prince William documentary on the environment, on Discovery, I think it would have done well. It did unbelievably well in Discovery+. Everybody wanted to see it, same thing with Attenborough. I think a lot of the stuff that we have, some of it is different, but we are starting to get some clues on the kind of things that people like to have on a platform and watch whenever they want. We also have seen that, we're getting a lot of comments that this is a service that people could watch sort of in two ways. One is, while they're cooking. They can - we added a feature where you can almost like a synthetic channel, where if you love Fixer Upper and you love the Property Brothers and you love Guy Fieri, you can just put that into the app, and that's what will run all day long. And so, on the one hand, you may really want to watch the Attenborough or this great crime documentary or Ina Garten is doing a great show with Melissa McCarthy, but you also may want to just put it on, so you have something really fun that you love to watch while you're cooking or while you're home schooling the kids or while you're working. And a lot of the SVOD products are - have - are there for intention, what is - where you have a full-on focused intent to view, which we have, and we have great content, great characters, great brands, but we also have this ability to be a companion. The content is on, and it's a great companion for you when you're home or it's a great companion. We have your favorite shows. So it's a balance. And we're looking - we think we could do both. Fantastic, differentiated content that people love and also the content and characters that they love that they can hang around with all day. Remember, Food and HG and ID, together with FOX News, are the four longest length of view cable networks in America, with our three being women and FOX News being men, and there's a reason for that, behaviorally. People sometimes want to have that on during the day, and they can do that with our app. And so, we think both of those provide a value equation.
Gunnar Wiedenfels: And then, Ben, in terms of advertising, I mean, visibility is still limited. I'm not in a position to come up with a full year outlook here. But obviously, you're right that the comps should start looking a little better from Q2 onwards. We've seen this sequential improvement. And as I said earlier, some of the international markets have actually have already been up in Q4, and we see strong momentum into Q1. It is early. I mean, I told you about pricing. We do have a great upfront deal in place. Option are - option cancellations are looking good right now. But, again, we don't have a ton of visibility. So we'll see. But hopefully, the balance is going to skew positively starting Q2 here. In terms of the next-gen revenue…
David Zaslav: Just want to - we did - we were able to make some two meaningful hires that have really been helping us. One is, we hired the Head of Sales for Hulu.
JB Perrette: Yeah. Jim Keller, yeah.
David Zaslav: Jim Keller, who is really terrific. We have a great team, but how do we take ourselves to the next level. And then, we just hired last week the Head of…
JB Perrette: Pato, the CMO from Hulu.
David Zaslav: The CMO from Hulu to come over. And so, we've brought over a lot of expertise here that we think in terms of selling our product, selling the digital product, getting someone that has years and years of experience of just doing that, together with the very strong team that we have, and Stein loves doing a fantastic job. And then take the great marketing team that we have with all the strength and you see in the campaign and bring someone who's been doing just subscriber acquisition for the last 8 years, is going to help this company really grow.
Gunnar Wiedenfels: Okay. Again, next-generation revenue is roughly $850 million in 2020. And again, that was a growth of 18% versus 2019 accelerating in the fourth quarter to 26%, accelerating in the first quarter now to roughly 50% and accelerating from there and to be quantified. But it's a great story, I think.
Ben Swinburne: Thank you.
Operator: Thank you. Our next question comes from John Hodulik from UBS. Your line is open.
John Hodulik: Okay. Great. Thanks guys. Maybe for Gunnar, just some clarifications on some of the cost items. You talked about spending some more on the content spend, I think you guys have spent about $3 billion a year the last couple of years. Can you give us a sense of the magnitude of the increase there? And then on the guide, any chance you could sort of bucket some of the areas that you might spend, leaning into D2C with that incremental up to $200 million in EBITDA, that would be great. Thanks.
Gunnar Wiedenfels: Yeah. So starting with content spend, two things to keep in mind for this year. One is the Olympics is going to flow through with a very significant license fee, of course, in the third quarter. Other than that, the content spend on a consolidated basis for the entire company is growing significantly. That's part of that guide that we have given, obviously, with a focus on direct-to-consumer first products. But keep in mind, as David said, we're experimenting with those windows for our content. And I think one of our great advantages has always been our ability to use that content across territories, across platforms and thereby further driving that efficiency. So that's one of the chunks that had always been part of his guidance. I think in terms of what we see additional spend right now, first and foremost, it's marketing. And again, I mean, I said it earlier, but given how our engagement and churn metrics and the monetization metrics are trending, our customer lifetime value looks much better than what we thought it was going to be in December. And at the same time, subscriber acquisition has been incredibly efficient, a little better than we planned for. So that gap between customer lifetime value and SAC is just very compelling, and that's the largest driver for us to really lean in and spend more on the marketing side, all the way through the funnel, initially, a lot of top of the funnel marketing, but we'll definitely keep firing on that performance marketing side as we go through the year here. And then in addition to that, on the technology side as well, there's a lot of fast follow features that are in the pipeline. The team is working hard. JB already spoke about replatforming. There's some work to do internationally as well. But again, all of that is going to help us accelerate the rollout here. It's going to help us accelerate the advertising growth. David already mentioned binge ads and pause ads and interactive ads, et cetera, that are coming down the pike as early as March, April, May, et cetera. So it's very exciting. And again, from the CFO perspective, what gives me a lot of comfort is this is a success-based spend. We're going to toggle it up and down with what we see in terms of the performance of the product. And again, I could not be more excited about this being the best use of our free cash flow right now.
John Hodulik: Thank you, Gunnar.
Operator: Thank you. And our next question comes from Rich Greenfield from LightShed Partners. Your line is open.
Rich Greenfield: Hi. Thanks for taking the question. This is sort of a follow-up to a couple of questions that have been asked. When you think about the Discovery+ product to-date, when we look at it, 12 of the top 13 shows have been sort of shows that are on TV or on linear TV led by Travel Channel's, Ghost Adventures. The only one that's been exclusive to Discovery+ has been actually Fixer Upper from Chip and Joanna. I guess, two thoughts come to mind. One, do you think your service is uniquely less exposed or less - need less original programming than other streaming services because people like watching your catalog content over and over? Two, do you think that Fixer Upper sort of point you in the direction of maybe Chip and Joanna shouldn't be launching a cable network and should just stay exclusive, their content should stay exclusive to Discovery+? And then just the last piece of that, you mentioned pausing the share buyback to invest in Discovery+. I guess, just given investor excitement over your stock and the huge move you've seen in your stock year-to-date, why not take advantage of it, actually sell stock, strengthen the balance sheet and actually invest even more in programming? Again, maybe you don't need to spend that much on programming, given what I mentioned before. So I just love your views on that whole subject.
David Zaslav: Sure. Let me start with the content. We've never made our entire library available before. So one is there's a lot of excitement about being able to sit down and watch all MythBusters, look at all the seasons of Deadliest Catch, Ice Road Truckers, go back and watch a bunch of Lifetime movies all in one sitting. So we're making available this whole bucket of content, all the food - go back, Guy Fieri spend an afternoon watching Diners and Dives. So there's a lot of appeal in our full library. Two, there's a huge amount of original content that is on there that's doing really well. The metrics are really not the same for us. If you take those 12 - top 12 shows, that's less than 10% of what's viewed on the platform. So I'm not on the inside of these other SVOD platforms. But when they launch a big movie or they launch a big series, if they name three, it might be 30% of the view or 40% of view. For us, it's less than 10%. So our product is a lot of long tail. When you - and a lot of the original content is very helpful, I think, because it makes - it is clear that it's differentiated. One of the reasons why a lot of people that have GO are moving over and paying for this product is there's more there and there's a ton of original content. So I think, we think we're on to something with the mix. We're not being guided that much by seeing that they're watching this show or that show. Because when we actually look at the full numbers, the answer is that they - we've represented 50% of what people watch on TV. And that's not available anywhere else. You go to the others for scripted series and scripted movies, and the big takeaway for us is people are willing to pay for that other 50% so far. And that could be a yellow brick road for us.
Gunnar Wiedenfels: And Rich, I mean, on the share buyback side, remember, we have so much free cash flow coming in, right? So that generates a lot of firepower to fund our organic acquisitions. On the leverage side, as I said before, I'm feeling very good. It's - and not only - I'm feeling very good. Agencies are supportive as well. And the reality is we have less than $4 billion coming due over the next 5 years after our prepayment here that's going on in March right now. So, I think, we're in a very good position. We are prioritizing the reinvestment into our own company right now, but not in the form of buybacks, but in the form of future growth.
Rich Greenfield: And what about the Chip and Joanna?
JB Perrette: Chip and Joanna?
David Zaslav: As I said, we've done a very innovative alignment together. And you're going to continue to see content on Discovery+ exclusively. There may be a window, maybe - we think linear is still valuable. They've produced a lot of good content. But you'll be seeing a tremendous amount of content coming from them and coming from their creative factory that will be on Discovery+ exclusively or exclusively for a period of time before it shows up somewhere else.
JB Perrette: I think the only other thing I'd add, Rich, to your comment about the franchises is that I think one of the successes we found, you mentioned the top shows and how many - there's a lot of the top shows on Discovery+ right now that are talent - existing talent or known talent or known franchise base. So you take a Magnolia Table or Bobby and Giada in Italy or even some of the offshoots of the 90 day franchise, and I think that's one of the things we see as a great success is ultimately being able to super serve and give people even more, but that stuff is exclusive to Discovery+. And so while it could fit naturally in a second window or down the line back on a network, because it's very complementary to the existing franchises, they are exclusive to Discovery+. So we do think, in order to continue to expand the base also, that will be important to have a right balance of certainly some of the library and the depth of the library is incredibly important. But also some of the exclusive content, even if it is based on some IP and franchises that come from the television networks.
David Zaslav: And outside the US, we're finding that with our local language, local sports strategy, that having a particularly compelling piece of local IP that's available exclusively, is driving, I mean, speak to that a little bit JB, We're seeing real growth in Poland when we take a particular piece of compelling local IP and put it just on our Discovery+ product.
JB Perrette: Yeah. I mean, consistent with what we did think in our and what we outlined is what we thought was sort of, part of our secret sauce back in December, of this combination of great local IP with the strength of the global library, we are seeing that bear fruit, which is a lot of the local IP that is, whether it be in Poland, the Nordics, the UK, Italy, is what's driving a significant amount of volume to the service and in terms of the acquisitions and then coming into the service finding and discovering all this new and great content that people have never seen. And I think the other thing - this is true about international, it's also true about the US, is the reality is the 55,000 hours is such a large volume of content in the genres and passion areas that people love, that without a digital algorithmic recommendation engine to surface that stuff to people, it's just never something that could have been perfectly exploited on linear television, when you have a 24/7 channel and you are limited by capacity. And so - and by the way, that replatforming that we're doing internationally is partly to take advantage of these more sophisticated recommendation engine that we have on Discovery+ that currently doesn't exist in discovery+ outside the US, but will once we finish the replatform. So that surfacing of new content, even if it's out of the library, that feels new to so many viewers, we think is also a big opportunity to satisfy the consumers.
Rich Greenfield: Very helpful. Thanks for the details.
Operator: Thank you. And our next question comes from Alexia Quadrani from JPMorgan. Your line is open.
Alexia Quadrani: Thank you. Just two quick questions, if I may. The first one is, are you - can we expect you guys can even get a higher proportion of advertising budgets given the incremental reach of Disney+? It just sounds like it's a very attractive overall offering you can provide as Discovery, the company, to advertise. I'm curious if it's incremental positive there? And then the second question is just really on local international production. Are you seeing that getting a bit harder or get bit more expensive now that Discovery+ and other - a lot of other streaming services are trying to build up a local content?
David Zaslav: Thanks, Alexia. On the ad budgets, getting back to - before we get to Discovery+, with our traditional business, what Steinlauf has been and his team are very effectively done - and he and I have been on the road with all the big agencies at least three times over the - since the Scripps deal, is dealing with the fact that the broadcasters are getting - are getting over $60 in CPM, and we were getting a third of that. And - but we're the number one player for women or the number two player for women. And we have the number one network with TLC. We have the number one show with 90 Day Fiance. And so we've been pushing that rock up hill. And you see in our numbers how we've been driving that CPM. But now we have a whole basket where we have this win-win of come in with us for $40 plus CPM. Why are you going to get a repeat on a broadcast network when you could buy original content on us? And we get a huge premium on our CPM. We believe that this should ultimately flip. And aside from sports, we should be getting a premium versus the broadcasters, because we're producing - we have length of view. We have an audience that's engaged. We have endemic with food and home where advertisers want to be. And so we think we have some real momentum there, and we're going to push on it, because we think, from an equitable perspective and from a performance perspective, we should see much more of that money with much more CPM with better returns. And we think advertisers are starting to agree with us. And you should see that flowing through over a period of time. And with GO and Discovery+, we do have a lot more opportunity, because with Discovery+ bigger than we thought, with GO continuing to perform, we have more capacity. And we're seeing that the attractiveness of that capacity in terms of the kind of premiums that we're getting in CPM on Discovery+, where there's only a few ads, is really terrific. So it's - and it's incremental reach, real incremental reach for us, non-cable, and so -- which is quite helpful. And on the local, leaning in, we do need original content. We have been doing it. JB's work been producing a lot of it in every language. We have the factory that converts all of our content into every language, but we are doing more original because it's helping us both on linear and direct-to-consumer, but JB, talk about how we've kind of pivoted this year to lean in even harder.
JB Perrette: Yeah. I think, certainly, in the core markets with the biggest scale, we'll continue to sort of pivot on and focus on the right level of local content to drive the acquisitions. I think the other thing that's exciting for us that we've never been able to take advantage of in a material way is we have now, even in the last 90 days, examples of shows that originate out of one market that are top 10 or top 5, in some cases, drivers in other international markets. And so when we talk about local content, local content used to only mean monetization in one market. The reality is now we're starting to see more value and benefit being driven out of local content – multi-market. So we did an Estonia documentary on the terrible and tragic capsizing, the largest ferry disaster in the Nordics, that was originated out of our Nordics business. It's now a top performer in the U.K., a top performer in Italy. And so local content investment doesn't just mean local, it means local with value now to travel, which is something that we never had. So we're excited about that opportunity as well.
Alexia Quadrani: Thank you.
Operator: Thank you. And we'll take our last question from Michael Morris from Guggenheim. Your line is open.
Michael Morris: Hey. Thanks guys. Good morning. I'll try to sneak a couple in here, if I could. First, can we talk a little bit about the affiliate pace domestically and especially the strength you're talking about in the first quarter, the 5% that you saw in the fourth quarter that seems to all be coming from the linear business. And I'd appreciate if you could talk about what drove that acceleration. I know we talked about a little bit of the improvement in subscribers. But really, it seems like you would have had to have some kind of pricing – discrete pricing improvement there. So can you just help with that and how much that impacts that underlying pace as we go into the New Year and that growth you're expecting? And then just a couple on international digital, if I could. Of the 5 million subscribers, next-gen subscribers you discussed in the fourth quarter, how many of those were Dplay subs that became Discovery+ subs on the conversion? And then the last thing, can you talk about India and your product in that market at all, where you are on that and if that contributed to your reported numbers this quarter? Thanks for taking the questions.
David Zaslav: Okay. Michael, let me start with the distribution guidance. And you may have noted that I deliberately said distribution rather than affiliate, because I do not want to create the perception that our traditional affiliate number is accelerating by 100% here. So you're 100% right. We were up 5% in the fourth quarter, and that was almost completely traditional business-driven. It's a combination of pricing, slightly better subscriber trends. We've lost less than in prior quarters. And also, we've done very well on the side of the virtual MVPDs. So that's the Q4 number, mostly linear. For Q1, we're talking about high single digit, potentially double-digit. Then a lot of that acceleration is, obviously, coming from the B2C trends, given the subscriber success that we've seen so far, that is going to start very materially contributing to that number. That's why I started talking about distribution the way we laid it out in our financial statements as well rather than just affiliate. On India, JB?
JB Perrette: On the international, Michael, to your question on international, the vast majority of those subscribers are Discovery+. So it's a – and if you add in the Eurosport Player, which will convert, it's really vast, vast majority of subscribers. So that's number one. Number two, on India, look, it's been a nice business. It's grown for us nicely. But it remains, in terms of, obviously, the logical questions of that being a lower ARPU market, it is a – it remains a small piece of the overall, kind of, single digit level percentage of our international portfolio today. So it's a nice – it's grown nicely, but it remains a smaller part of the overall international subscriber story.
Michael Morris: And JB, just to be clear that I'm trying to reconcile the 5 million subs and the part that you said the vast majority were Discovery+, I guess, are you seeing the majority of the 5 million that you guys discussed in December converted to become Discovery+ or more than half of those 5 million?
JB Perrette: Correct, correct.
Michael Morris: Okay. Okay, that's great. Thank you very much for that. Thank you. Ladies and gentlemen, that does conclude the question-and-answer session for today's conference. Ladies and gentlemen, this now concludes today's conference call. Thank you for your participation. And you may now disconnect. Everyone, have a wonderful day.